Operator: Statements are contained in the company's annual information form as filed with the Canadian Securities Administrators and in the company's annual report on Form 40-F as filed with the US Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Thursday, February 6, 2025. And at this time, for opening remarks and introduction, I would now like to turn the call over to the global chairman and chief executive officer, Mr. Jay Hennick. Thank you. Please go ahead, sir.
Jay Hennick: Thank you, operator. Good morning, and thanks for joining us for the fourth 2024 earnings call. As the operator mentioned, I'm Jay Hennick, Chairman and Chief Executive Officer. And with me today is Christian Mayer, our Chief Financial Officer. As always, this call is webcast and available in the Investor Relations section of our website along with the presentation slide deck. In the fourth quarter, Colliers International Group Inc. delivered robust growth with strength and momentum across all business segments. Engineering revenues recorded the highest percentage increase driven by recent acquisitions in Canada, the US, and Australia. Real estate services performed strongly in both capital while investment management experienced modest growth compared to the previous year. Over the past few years, Colliers International Group Inc. has become stronger and more resilient driven by three high-value growth engines: real estate services, engineering, and investment management, all supported by recurring revenues that now account for more than 70% of our earnings. Looking ahead to 2025, we expect another solid year of growth, and we are quite excited about our future prospects. Our enterprising culture continues to thrive thanks to our experienced leadership that is fully aligned with shareholders. Our global teams have long tenure. They operate in a decentralized way that is supported by long-term incentive programs that foster an owner's mindset. This unique culture provides significant competitive advantages to Colliers International Group Inc. that is extremely difficult to replicate. Our new engineering platform now boasts 8,000 professionals and is underpinned by a strong recurring revenue base and robust contractual backlogs offering significant growth opportunities on a global basis both internally and through acquisition. We also see three near-term catalysts that drive even stronger growth in 2025 and beyond. In real estate services, our capital markets business is showing cyclical recovery as interest rates and asset valuation stabilize, albeit slower than we expected. While performance has yet reached the 2021 peak, our significantly larger scale now positions us extremely well to deliver even stronger results in the future as the market recovers. In investment management, improved fundraising efforts and the launch of several new vintages of our proven investment products set the stage for robust revenue growth and a new step up in growth and profitability as we strategically deploy new capital and new investments going forward. Finally, as always, our 2025 outlook does not include the potential upside from additional acquisitions we might complete during the year, which have historically been very accretive. Our pipelines remain strong, and we expect to continue to scale and diversify each of our three business segments throughout the year. This year, we have also decided to accelerate our plans to streamline our investment management operations to take advantage of the synergies much faster than anticipated. This move will set the stage for future opportunities and create increased optionality as we continue to build out one of the world's largest mid-market alternative asset managers, with about $100 billion of assets under management. Supported by visionary leadership, significant inside ownership, and a proven 30-year track record of delivering 20% annualized returns for shareholders, Colliers International Group Inc. is extremely well-positioned to continue to create value for shareholders for many years to come. Now let me ask Christian to provide his financial report, then we'll open things up for questions. Christian?
Christian Mayer: Thank you, Jay, and good morning, everyone. Please note that the non-GAAP measures discussed here today are as defined in the materials accompanying this call. Revenues for the fourth quarter were $1.5 billion, up 22% relative to the prior year period. Local currency internal growth was 10% overall. It was led by capital markets, which was up meaningfully against the low base in the prior year, and engineering, which had strong gains in both the engineering and project management disciplines. The fourth quarter's adjusted EBITDA was $225 million, up 14% over the prior year, with internal growth and acquisitions contributing in roughly even proportions. Our real estate services operations had 13% revenue growth led by capital markets, which was up 25%. Europe and the Americas drove the capital markets gain with sharp increases in transaction activity in office and industrial asset classes. In Asia Pacific, strong year-over-year capital markets growth in Australia was offset by macroeconomically driven declines in China, Hong Kong, and South Korea. Leasing revenues were up 14% with notable increases in activity in the office, industrial, and retail asset classes globally. The segment's margin remained flat versus the prior year quarter with operating leverage from higher revenues offset by ongoing investments to recruit brokerage professionals. Engineering performed well in Q4 with overall revenue growth of 61%, with the bulk from acquisitions as well as high single-digit percentage internal growth. The net revenue margin decreased slightly to 12.8% relative to 13.5% in the prior year period due mainly to weather-related seasonality inherent in recently acquired businesses. Investment management revenues were up 6% overall excluding past due performance fees as expected. Q4 EBITDA was also up 1% while the margin was flat relative to the comparable period, driven by ongoing investments in our fundraising capabilities and cost to launch new fund products and strategies. We raised $1.3 billion of new capital commitments during the quarter, bringing full-year fundraising to $3.8 billion as we expected. We are in the process of deploying capital raised and have started to raise for new ventures launching in 2025. Assets under management at year-end were $98.9 billion, up slightly from September 30th. AUM gains came from fundraising and positive mark-to-market adjustments in almost all asset classes but were largely offset by asset realizations in older vintage funds, with capital returned to investors. Redemption activity, which is permitted with certain restrictions in our perpetual funds, was modest. Turning to our balance sheet. During the quarter, we upsized and locked in our revolving credit facility for a new five-year term. We currently have over $1.2 billion of capacity to fund future growth. Our leverage ratio, defined as net debt to pro forma adjusted EBITDA, was two times at December 31. As expected, we delevered during the fourth quarter through a combination of EBITDA growth and seasonally strong free cash flow. For the first half of 2025, we expect leverage to remain in the two times range, then to decline to approximately 1.5 times in the second half. This, of course, assumes no material acquisitions. Now we are introducing our outlook for 2025 with commentary by segment to provide additional clarity. The outlook reflects currently prevailing foreign exchange rates, which are closely tied to international trade uncertainty, and are a headwind to our US dollar reported results. We expect our real estate services revenues to grow at a mid-single-digit percentage rate with a modest margin increase. We expect engineering revenues to be up about 30% with about one-fifth of that growth attributable to internal sources. Engineering margins are expected to increase nicely from the impact of higher margin acquisitions as well as margin expansion in our base business. Our investment management division is beginning a new cycle of fundraising with several new flagship long-dated vintages launching in 2025, which should result in higher revenue streams as we progress through the year and into 2026. Given our continuing investments in fundraising and our accelerated operational integration plans, 2025 margins are expected to remain flat or modestly down relative to 2024. We are expecting a significant step change in investment management EBITDA and margins in 2026 as capital formation strengthens. On a consolidated basis for the full year 2025, we expect high single-digit to low teens percentage revenue growth, and low teens adjusted EBITDA and adjusted EPS growth. That concludes my prepared remarks. We'll now open the call to questions. Operator, can you please open the line?
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. If you would like to ask a question, please press star followed by the one on your telephone keypad. You will hear a prompt that your hand has been raised. Should you wish to cancel your request, please press star followed by the two. And if you are using a speakerphone, please lift your handset before pressing any keys.
Anthony Paolone: Your first question comes from the line of Anthony Paolone from JPMorgan. Please go ahead.
Anthony Paolone: Great. Thanks. Good morning. Wanted to start on the engineering side and wondering if you can give us a little bit more color on how integration is going, where you may have seen any headwinds, and just, you know, movement toward pushing price in that business and how it is coming along?
Jay Hennick: Yeah. Integration has been relatively simple actually because EnGlobe is a national player in Canada. There was no overlap with the US business, and it was a beautiful attachment to our base business. The only integration that we're dealing with in the engineering area is in Australia and New Zealand, where we are continuing to build out a solid and more significant platform. It's going well. Their results are better than expected. But over the next couple of years, we expect more growth and more investment in technology to be sort of consistent with what we have both in Canada and the United States. So we're excited about that, but integration has not been an issue for us in engineering.
Anthony Paolone: Is that investment you're making, is that a margin headwind in the near term? Just trying to understand how to think about any pickup there in 2025 or...
Christian Mayer: Well, Tony, the margin impact in engineering will come from the higher margin acquisitions completed during 2024 and also some organic margin improvement. Some of these integration efforts in Australia, they do take time and they do take energy and they do have a slight adverse margin impact. We're also integrating our newly acquired MG2 business in the US, and that will take place over the next twelve months. And there is considerable work to do to integrate these tuck-in acquisitions, but not meaningfully impactful on our margins.
Anthony Paolone: Okay. And then just my second question, in investment management, can you give us any capital raising goals or net sort of AUM you think should end up with when you consider the new products you're launching as well as net of any sort of liquidations of vehicles maybe put aside, you know, market change?
Christian Mayer: Yeah. Tony, as I mentioned, we raised $3.8 billion of capital in 2024, which is an increase from 2023. Challenges have obviously been challenging the last couple of years, so that's the context. For 2025, we're expecting to raise between $5 and $8 billion of capital. And this is in new vintages of funds. So these funds are going to have first closes in the midyear to late year, this year, and then accelerating with additional fundraising as we head into 2026. So as I mentioned, you know, this is a building year with a new fundraising cycle starting. And, you know, we expect fundraising to pick up meaningfully into, you know, late 2025 hopefully and certainly in 2026.
Anthony Paolone: Okay. Thanks for the time.
Operator: Thank you. And your next question comes from the line of Stephen McLeod from BMO Capital Markets. Please go ahead.
Stephen McLeod: Thank you. Good morning, guys. Just wanted to follow-up on the engineering business, which had a, you know, nice quarter and seems like a decent outlook. Can you talk a little bit about just the margin dynamic in the first quarter? And then you talked about just the margin expectation for 2025. And just curious if you can put some color around how that is expected to evolve and what level it could potentially get to year.
Christian Mayer: Yeah. So, Steven, our Q4 margin was impacted by newly acquired businesses during the year. And as you know, EnGlobe is a significant Canadian engineering firm and has weather-related seasonality attached to it. So that is an impact that we saw in the 2024 quarter, but not in the 2023 quarter. So as we look ahead to 2025, we will benefit from the full-year effect of recent acquisitions, which are at higher margins than the base business. So certainly expect a 150 basis point or so margin increase in 2025 in the engineering segment on an overall basis. The only thing you need to think about here is that we report our revenues on a gross basis. If you report if you look at our revenues on a net basis and we did provide some information in our materials about what those net revenues are in our engineering segment, our margin is, you know, 200 to 300 basis points higher on a net revenue basis. So we continue to provide that information. Also, there's the other piece when you're comparing us to the Canadian engineering firms. Under IFRS, they do not include rent expense as an expense against their EBITDA. So that again raises their margin profile relative to our US GAAP reported margin by another 100 to 200 basis points.
Stephen McLeod: Right. Okay. That's helpful. And then just turning to the investment management business, you know, I think you characterized this year as a new cycle of fundraising, and it sounds like you have a lot of initiatives on the go. You know, as we think through the margin impact this year, and next year, do you foresee a scenario where investment management margins kind of get back into that 44, 45% range in 2026 once you've completed your fundraising and you really see that revenue pickup?
Christian Mayer: Steve, the answer is yes. We see those margins improving. And, you know, principally, today, you know, we're impacted by additional investments in fundraising, integration, you know, which we've accelerated the process on. So those are cost headwinds, given the relatively modest revenue growth we've seen. But as that revenue growth accelerates with fundraising, our margins should increase in lockstep with that and certainly we would hope to be back at that, you know, mid-forties high-forties percentage margin over the next year or two.
Jay Hennick: No, Steve. I'd add something to that. You've been a long analyst, but we are being very aggressive in this segment. This year, as I sort of indicated in my comments. There's a massive opportunity. We have a significant business with great strategies, great results for our investors, and the fact that fundraising has been soft across the board. I'm just gonna give you some additional color to it. Across the board, when it's done, it has brought our closer together. The leaders of each of the strategies closer together, and they've spent a lot of time talking about synergies, fundraising, and a variety of other initiatives that they believe that they can significantly benefit from going forward if they took certain strategic steps. These are steps that we always anticipated as you know, in building our platform. We always focused on doing it in partnership with the operating management teams. But what's happening interestingly in this segment is they're all coming together much faster than we expected, primarily because of the macro conditions and that's creating huge opportunity. So although and yes, we have new products launching this year, which will help our business and will return our margins to 45%. But I think our overall platform will accelerate materially over the next 18 months and really position us beautifully going forward based on what we're seeing across the board in this segment of our business. That could include name change, that could include an integrated leadership team, all of which creates more flexibility for us. All of this creates new optionality for us. And this business as you know, is highly valuable. And we were approached on an ongoing basis by many that would love to have this platform as part of their organization. We, on the other hand, have a tremendous management team that believe that they can take this business to new heights, and we made the executive decision to accelerate our plans and get ourselves ready for 2026 and beyond and there's lots of exciting things happening. So we're quite excited about it. It will impact our margins, I believe, in 2025. Not really don't really care about that too much, to be honest. As long as long-term shareholders and business builders but this will translate into huge value, I think, in the years to come.
Stephen McLeod: Yeah. Okay. Well, that's great color, Jay. Thank you. And obviously, consistent with your long-term approach. So thank you very much for that color. Maybe just one more question if I could. Just on the recruiting investments in the real estate services business. I mean, what do you need to see to see returns on those investments?
Jay Hennick: Well, we're seeing the returns already here, but you're seeing strong leasing results. The one thing that's become clear to us too over the course of time is we've created a unique culture, which has been part of our way of operating for many years. Recruiting has been right up there. Colliers International Group Inc. is hands down the third most recognized firm in the world. We operate in every city. We look at this business not dissimilar to the accounting industry. I'm not sure there's much difference between Pricewaterhouse, Deloitte, and the other accounting firms. There is for sure not that much difference between CB, Jones, Lang, and Colliers International Group Inc. Our professionals are as good as their professionals. We have leading market positions in every major market around the world. And we have a platform that continues to grow market for market despite the headwinds that this industry is under. So if we see capital markets returning as just one example, to previous levels, huge upside for us. But we also are taking advantage of other opportunities within that business to continue to accelerate our growth. And I think you'll see that coming through in 2025 and beyond as well.
Stephen McLeod: That's great. Thank you, Jay. Appreciate the color.
Operator: Thank you. And your next question comes from the line of Stephen Sheldon from William Blair. Please go ahead.
Stephen Sheldon: Hey. Thanks for taking my questions. First one here, just following up on your investment management commentary, Jay. As you think of and as you talk about kind of operational and integration, can you give more detail about what that really means? How integrated do you want those investment management assets to be? What functions are you wanting more integrated, and just generally how this could position the investment management segment for better financial contribution looking forward? Is it more about better top-line growth with better distribution or is there a pretty big potential for a margin uplift too? I mean, you kind of already talked about getting to mid-forties, investment management margins. But just how are we, you know, just more detail there, I guess, on the operational integration.
Jay Hennick: Well, the interesting part is strategy for strategy is not gonna be integrated. They're led by tremendous investors that have delivered superior returns over many, many years. What we are integrating is more of the back office regulatory. We're spending lots of time on fundraising, and in particular, it makes no sense for us to be fundraising three or four different strategies through three or four different brands. You know, investors want to consolidate their investment decisions and so we're looking at more of back office synergies. You know, our investment results have been stellar when compared to others. And so it's all around how do we do this in a more streamlined way. It has been the Colliers International Group Inc. way forever to look at simplicity and streamlining while leaving the people on the front line that are the entrepreneurs, the investors, to continue to deliver on the positive results that they have been generating. So I think you'll see in the next year or two much of the back office come together and the synergies created around things that are ancillary to the investment principles that have made our businesses as strong as they are.
Stephen Sheldon: Got it. Makes a lot of sense. And then just as a follow-up within the real estate services kind of mid-single-digit guidance for 2025, can you frame, you know, roughly what your underlying assumptions are for the brokerage segment? As we think about leasing capital markets. How conservative do you think you've been with your assumptions at this point? And are you assuming any push out of activity in the first half, I guess, given some of the noise in the market right now? As we think about things like the trade war, rate uncertainty, etcetera.
Christian Mayer: Yeah. Sure, Steven. I mean, all those things. The trade issues that are being raised, you know, has resulted in uncertainty amongst, you know, occupiers and investors, particularly industrial occupiers and investors that relate to, you know, the trade and goods across borders. So that's something that we're certainly thinking about. We're also seeing the trade impacted effect on exchange rates. And, you know, our growth as we sit here today at prevailing exchange rates is gonna be impacted by 2 to 3% in 2025. With real estate services, half our revenues being generated outside the US. And the same in engineering. Just on currency alone. So we're thinking about all these things as we look at our real estate services outlook. And we're also, you know, in terms of bifurcating the growth expectations, you know, capital markets, I would say, it's a high single-digit growth expectation coming off low basis, and then mid-single digits for leasing and outsourcing. But certainly, you know, those percentage growth impacts or those percent growth figures that I quoted are, you know, being influenced by current trade policy and FX conditions.
Jay Hennick: Steve, I think it could be hot. And it, you know, it will just have to see how things roll out. You know, we would have expected capital markets, which did nicely in the fourth quarter, I think we were hoping it would be doing a little better than it did. And, you know, things could change, but it relates to interest rates, it relates to asset valuation. That could change. But when it changes, it could make a material positive impact on our numbers for 2025 and beyond.
Stephen Sheldon: Got it. Very helpful. Thank you, guys.
Operator: Thank you. And your next question comes from the line of Frederic Bastien from Raymond James. Please go ahead.
Frederic Bastien: Hi. Good morning, everybody. Just wanted to touch on the engineering business. Are you calling for a fairly healthy margin expansion? Do you expect that to be linear over the next few quarters, or would it be back-end loaded in the back half? Just wanted to get some color as to the cadence of the margin improvement, please.
Christian Mayer: Yeah, Frederic. It's a good question. There is a little bit of seasonality in our engineering business. Saw a little bit of that in Q4. See a little bit more in Q1. The seasonal peak quarters in engineering will be Q2 and Q3. So I think the margin that we referenced, you'll start to see the full effect of that in Q2 and Q3 and also in Q4 going forward, you know, as we finish the year in 2025.
Frederic Bastien: Okay. And then I want to touch on the organic growth expectation that you have for that business. You look at the big comps, they're all kind of guiding for multi-year growth in the, you know, in the mid to I would say, like, you know, anywhere from 5% to 8%. Is that sort of the ballpark that you're also aiming for?
Christian Mayer: Yeah. Absolutely.
Frederic Bastien: Any additional color per segment? I mean, is it heavy US still your business? Would that be comparable in other markets?
Christian Mayer: Yeah. I think, you know, the markets we operate in particularly in the engineering space, Canada, US, Australia, have, you know, similar things going on with long-term tailwinds in infrastructure spending. You know, there is a bit of noise about some of the government spending in the US today, but we think that is gonna be immaterial. Might cause a bit of timing, but it shouldn't be material to the long-term trajectory of our business. And in this business, as you know, Frederic, we have backlogs of work and clients, you know, with significant ongoing needs for services for professional technical services around their various real assets that they have located, you know, across the Indian continent and in Australia. So we feel pretty good about our prospects.
Frederic Bastien: Thanks for that. And thank you for breaking down the net revenues. It's helpful to us.
Operator: Thank you. And your next question comes from the line of Daryl Young from Stifel. Please go ahead.
Daryl Young: Hey. Good morning, everyone. I wanted to ask first about the small architectural design acquisition that you did in December of MG2. I recognize it's a small deal, but I'm just curious if it's something you see potentially spooling up into a bigger platform in the years ahead, or is it really just to augment the engineering services?
Jay Hennick: It's to augment the engineering services. This particular architecture firm that we acquired, although it's framed as an architecture firm, better than 50% of its revenue is more project program management for large logistics providers across the US, and a very complement and in engineering as well. So, I think what's happening in that entire sector is that the definition of what engineering is continues to widen. They become more multi-disciplined services firms that do a variety of things. And as we continue to grow and scale that business, we're seeing new services that you might call engineering services, but they're highly specialized in aviation, in marine, in a variety of other things that are not traditional engineering type firms. So that's the beauty of this segment. It is so wide and expanding. And from our perspective, global in nature, and you've heard this before, we have strong leadership teams globally, so we can easily execute when the opportunity is there, and integrate as we have done so well over many, many years. So we're quite excited about this segment. That's one of the reasons why we started to split ourselves into three different operating segments and growth engines, because the opportunity in this particular one, and the engine that we're calling it engineering, is so wide and vast and, you know, we have aspirations of having it a much bigger segment over the next five years.
Daryl Young: Got it. Okay. Good color. Thank you. And then one other on investment management. You gave us some good color about what's going on there, but I often hear from investors about just the spectacular amounts of money being raised by some of the super majors and I'm curious from a competitive standpoint on fundraising, what differentiators are you seeing or what are you hearing from LPs about the appetite for a mid-tier investment management partner such as yourselves and just a few thoughts there.
Jay Hennick: Mike, you raised an excellent point. And I just want to reiterate some of the things that I've said, and perhaps do it in a little bit of a different way. You know, let's start with, you know, we're a mid-market alternate asset manager. So we know, the biggest types of transactions, not that we can't do them, but you know, our networks are such that and we believe that we can get better returns in the mid-market than in the large market. So that's, you know, that's one thing that I'd emphasize. The other thing that has become clear as fundraising has softened for everybody except for the larger players have other advantages, so which so for example, some of the larger ones you hear about all this money that they raised, but they're all or most of them are significantly in the insurance business. So as they raise capital, they include money that they're allocating for their insurance operations to their investment management operations, so it skews the numbers. But in our particular case, and this is one of the reasons why we're accelerating our efforts, you know, our largest division there is Harrison Street. But we have three other very significant investment management operations all led by exceptional business leaders, all have independent fundraising teams. And they all approach similar LPs, and it's the And so bringing some of that together, some of that fundraising effort together, under one leadership team, for example, will give us, we believe, a significant competitive advantage and it's one of the reasons that's driving this move to streamline this business and get it ready for, you know, phase two of its growth. It's already $100 billion in assets under management or just under. It has exceptional results for LPs. It has tremendous leadership at every level. Our infrastructure business now is approximately 30% of our overall business, which is significant. Traditional real estate is, you know, I think only 20 or 22% of our business, the rest are all in alternatives. So we're in very, very interesting asset classes. And we are, you know, to put it in a, you know, my sort of way, we're company building right now. And you know, we believe coming out of this, we will have an exceptional platform that will be, you know, positioned beautifully to continue to accelerate its growth in the years to come. And we're excited about the steps that we're gonna take. Having said that, as Christian already alluded to it, it's gonna cost a little bit of money in 2025 to do that, and we're fully prepared to make the changes necessary and position ourselves for the next phase of growth. I hope that helps to provide some additional color that you're asking for. But it's exciting stuff. And it's the type of things that strong and bold leadership have to do in order to create value for shareholders over the long term as we've done for many years.
Daryl Young: No, that's great color. Thanks very much, Jay. I'll hop back in the queue.
Operator: Thank you. And your next question comes from the line of Julien Bouien from Goldman Sachs. Please go ahead.
Julien Bouien: Hi. Thank you for taking my question. Jay, maybe still on investment management. You mentioned, you know, all of the streamlining and integration, bolstering your optionality. I guess, does this bring forward the feasibility of a spin-off or a sale of the business and sort of over what time frame are you sort of considering that you need to see sort of phase two of AUM growth and EBITDA growth before you would consider separating off the business?
Jay Hennick: You know, no decisions have been made around that. But surely putting this together the way it does creates that optionality. But, yes, I think you're absolutely right. We need to see momentum. And we need to see sort of the step up in revenue growth and profitability, because as you know, as new vintages hit the market, new products hit the market, and we raised capital, that's, you know, that's really phase one. Phase two is let's put that capital to work in deals that are gonna generate alpha. And once we see that happening, and we're comfortable that we have the momentum we want, we can then decide what the next steps are. The other thing, and again, I'm probably going too far out of my skis here, but you'll understand, is that, you know, the optionality that it creates is not just potentially to spin this off, but also to bring together other strategies that might be a gap in our group of business our group of strategies today. So for example, we have a very small debt group, that is the hottest product right now. Not sure that that is where we would necessarily want to be, maybe two years ago, we would have wanted to be there. But it opens up lots of opportunity for others to join our crusade to create this wonderful business that we have. We have had several conversations with many people, and, you know, it's just the next step in the development of this very interesting mid-market alternate asset manager.
Julien Bouien: Thank you. That's really helpful. And then one more maybe on capital markets. When we think of this sort of drop off in growth versus the relatively strong growth we saw in the fourth quarter versus high single-digit sort of baked into guidance for 2025. I guess, how much of that is just sort of uncertainty and, you know, not knowing the unknowables versus how much of that is real sort of drop off you're seeing in current deal activity or have seen in December and January as sort of we got past some of this rate lock activity of September and October.
Christian Mayer: Julian, you know, deal activity continues to be tracking, you know, reasonably well. However, you know, you've got a lot of these macro things in the market that are causing uncertainty as we speak. You know, trade policy issues and the first foreign exchange is another one that's a pretty meaningful headwind. You know, 2 to 3% growth just from that. So we're trying to take a cautious approach here on the full year. We don't know how things are gonna unwind, but we know we are well positioned. We have a stronger and bigger team than we've ever had in our capital markets business. So, you know, and they are highly motivated and properly aligned to generate revenues. So we will see. Hopefully, we outperform, you know, the deal that we put in front of you.
Jay Hennick: You know, the other thing I would add to that is clients want to transact. They are professionals are busier now than ever, our debt capital people are busier now than ever. But they're not ready. Some are ready, but there's still a gap between buyers and sellers. Interest rate fluctuations, longer-term debt, all of those things impact the decisions. So we have a buyer group that is keen to transact but they're just not coming at the velocity that we were hoping that they were gonna come. Now that could change. Very quickly every day, we read things in the paper about, you know, the government's view on long-term interest rates versus short-term interest rates and so on. So we'll see what happens. We'll see what happens, but there is a definite buying mentality out there right now, and we're hoping it translates.
Julien Bouien: Thank you. That's very helpful.
Operator: And your next question comes from the line of Jimmy Shan from Aries Capital Markets. Please go ahead.
Jimmy Shan: Thank you. Sorry. Just to follow-up on the investment management again. I thought your comments were interesting. And I just want to clarify on the when you talked about the other optionality being sort of others joining the platform, I guess, is the thinking that once the fundraising and back office are integrated, it would be easier to do M&A for, you know, a mid-market credit asset manager to latch onto the platform. Is that the thinking there? And then in terms of your investment that you're currently doing today, are you also sort of hiring personnel to position the platform to launch new products, new strategies, and for example, I saw Harrison Street close on a data center fund. Like, is that the sort of thing investment that you're making into the platform?
Jay Hennick: So the answer to the second question is yes. You know, new products, people to drive those new products. Harrison Street, as you say, has been successful with their first data center fund. They've been in the data center business for many years, but it's been part of their open-ended or closed-ended funds. So this is not a new product for them. But it's a new dedicated fund, which is interesting. All of the integration that I talk about, the streamlining that I talk about has nothing to do really with new acquisitions joining the platform. We should be doing that anyway. It is to set us up to be a standalone business. Right now, there's four different platforms that operate essentially independently, which was what our strategy was in 2018 when we began putting together this wonderful asset that we have buried in Colliers International Group Inc. So we're really accelerating now. Some of the earn-outs have all been, most of them, I think there's one left, have all been extinguished one way or the other. Most have been paid in full. So people have achieved certain targets. But now is the time to bring them together, and to really capitalize on the synergies and the beauty is, you know, in some respects, the softness in the marketplace has caused each of the teams to be much more open-minded about doing things together. And so, we're excited about lots of discussion that's taking place. We've actioned a number of things, which you'll hear about in the coming months, and we're hopeful that coming out of 2025, we will have a business that is more, I would say, unified than it currently is.
Jimmy Shan: Okay. And then my second question is just on the $5 to $8 billion of fundraising expected for 2025. What does your guidance assume for 2025?
Christian Mayer: Well, that's Christian's guidance. I would say that the teams themselves believe they will be raising more capital than that, but that's the guidance that we should share. Jimmy, the numbers I quoted tie into our projections for revenue and EBITDA.
Jimmy Shan: Okay. Alright. I'm sorry. One last thing. You talked about these new vintage funds there. Can you talk about, like, how many funds are being launched and the target size of those new vintage funds?
Jay Hennick: I think there's five new vintage funds, meaning funds that have been in the marketplace before. There are several others that are new products, like the Harrison Street data center fund, for example. Basalt has created its own solar and wind strategy, which is new for them. And also some infrastructure debt products that they're bringing to market early days, but these are the types of products that their LPs and other investors have been asking for. This is expertise that they already have in-house, and they're natural extensions to their businesses. So in the case of Rockwood, as an example, they're expanding their multifamily funds, been very successful with that. And also their debt, primarily real estate debt, initiatives that are surging considerably over the past twelve months. So lots of new things coming on stream. And as you know, the new things do take time to mature in the marketplace. So you want to get them out there, there's generally three or four LPs that are keenly interested, and then we execute on a few transactions and hopefully build from there.
Jimmy Shan: Great. Thank you.
Operator: Thank you. And your next question comes from the line of Himanshu Gupta from Scotiabank. Please go ahead.
Himanshu Gupta: Thank you, and good morning. So first on the real estate services, I think you mentioned mid-single-digit growth for this year. Does that already include 2 to 3% negative impact from FX?
Christian Mayer: Yes, Himanshu. It's net that's net of the negative foreign impact. We're showing you numbers that, you know, we expect to deliver based on today's prevailing FX rates.
Himanshu Gupta: Got it. Okay. Thank you. And do you think, you know, real estate services is the segment where you're most impacted on an FX front? I mean, investment management probably the least and, like, engineering somewhere in the middle.
Christian Mayer: Investment management is the least impacted by foreign exchange. The majority of the funds there are denominated in US dollars and the fees are denominated in US dollars. But I would say that, you know, real estate services and engineering, you know, each have 50% of their revenues in currencies other than US dollars. So these are operations in Canada, Australia, Europe, the UK. You know? So these currencies are all, you know, the value relative to the US dollar today. And that's what we're talking about.
Himanshu Gupta: Got it. Okay. That's helpful. And then on the capital markets, and, you know, thanks for the commentary so far. But is it fair to say that, you know, it's becoming another second half story? I mean, your assumption of high single-digit, is it, like, mostly the back half? In terms of the recovery? And maybe a slower first half?
Christian Mayer: Well, I mean, to answer the business, historically, is seasonal toward the fourth quarter. That's just the way that the industry operates. So we're gonna see outsized growth in the fourth quarter. So I think that's, you know, something to keep in mind. Here. We're, you know, cautiously optimistic that have capital markets growth in each quarter of a meaningful amount. But, you know, we'll have to wait and see. But that skew towards the fourth quarter is a natural part of the business.
Himanshu Gupta: Okay. Fair enough. And then, you know, on the investment management, and I think $5 to $8 billion of new capital to raise. Do you expect some reductions here as well? You know, any end-of-life funds to offset this kind of capital raise? In your, you know, mid-single-digit assumption.
Christian Mayer: Yeah. I mean, I mentioned in our thinking here, we do expect our AUM to increase through the year. We're just shy of $100 billion, we expect at some point during 2025 to meaningfully pop through that $100 billion level. So, you know, I think the fundraising will be additive to that, of course. Mark-to-market activity, we expect will be positive. It was positive in almost all cases in Q4, we expect those marks to level off and to continue to increase during 2025. And redemption activity, you know, our queues are getting smaller in terms of redemption activity. It's been modest in 2024, but we expect it to be more modest even in 2025. So, you know, all those things I think, point to growth in AUM for 2025.
Himanshu Gupta: Thank you. That's very helpful. And maybe the last question is on the I mean, it looks like, you know, I mean, you're looking at the M&A in the segment. The investment management. How are the private market valuations trending for the kind of product or the kind of capabilities you're looking to add in this platform?
Jay Hennick: Investment in the acquisitions have been very, very buoyant and looking to buy assets, making it very competitive forcing prices up. And that's one of the reasons why we haven't pulled the trigger just yet on anything. Not to say that we wouldn't get the right opportunity presented itself. But as you can see, four or five years ago, you never saw the larger players in the market making acquisitions. Over the past three, four years, you're seeing almost all of them in the marketplace making acquisitions, some large, some small. Insurance companies have now entered the fray. And so when I say there's lots of people looking at our platform, and inquiring about our platform, you know, I'm trying to downplay the level of interest that we see. So the segment is going through a transformation in some respects. And we're very fortunate to be where we are. And we're very fortunate to have started this in really, in 2018. To build the platform that we have and the teams that we have. So we're really quite looking forward to the next few years, to see how that plays out.
Himanshu Gupta: Okay. Thank you, Julian. Super helpful, and I'll turn it back.
Operator: Thank you. There are no further questions at this time. I will now hand the call back to Mr. Jay Hennick for any closing remarks.
Jay Hennick: Thank you very much, operator. This was a full call, obviously. And we appreciate you taking the time to participate, look forward to meeting again at the first quarter results of 2025. So thanks for participating.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. And have a nice day.